Holley Schmidt: Good morning. Our conference call this morning will review the financial results for the Fourth Quarter of 2022 ended December 31, 2022. Before we begin, let me remind you that the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 apply to this conference call. During the course of this call, the company will make various remarks concerning management’s expectations, predictions, plans and prospects that constitute forward-looking statements. Actual results may differ materially from these projected by these forward-looking statements as a result of a variety of factors, including those identified in the company’s news release of February 23 and in various other filings with the SEC. You are cautioned that any forward-looking statements reflect management’s current view only and that the company undertakes no obligation to revise or update such statements in the future. In addition, management may also discuss non-GAAP operating performance results during today’s call, including earnings before interest, taxes, depreciation and amortization or EBITDA and adjusted EBITDA. A reconciliation of these non-GAAP results is provided in the company’s press release dated February 23, which is available on the company’s website at chemed.com. I would now like to introduce our speakers for today. Kevin McNamara, President and Chief Executive Officer of Chemed Corporation; Dave Williams, Executive Vice President and Chief Financial Officer of Chemed; and Nick Westfall, President and Chief Executive Officer of Chemed’s VITAS Healthcare Corporation Subsidiary. I will now turn the call over to Kevin McNamara.
Kevin McNamara: Thank you, Holley. Good morning. Welcome to Chemed Corporation’s fourth quarter 2022 conference call. I will begin with highlights for the quarter, and Dave and Nick will follow up with additional operating detail. I will then open the call up for questions. Our fourth quarter 2022 operating results released last night exceeded key internal operating metric targets for both VITAS and Roto-Rooter. This resulted in Chemed reporting fourth quarter and full year 2022 adjusted diluted earnings per share of $5.39 and $19.75, respectively. This compares to our initial adjusted earnings per share guidance issued in February 2022 of $19.10 to $19.50. Our 2022 results were excellent given operating headwinds that developed and became more difficult as the year progressed. These headwinds consisted of greater disruption in hiring and retaining licensed health care workers, higher inflation for a longer period of time than anticipated, and the impact of inflation has had in some consumer spending decisions. For VITAS, these 2022 headwinds included Medicare reimplementing sequestration, resulting in a raw revenue reduction of approximately $15 million and industry-wide disruption related to staffing licensed health care professionals. Since we implemented our hiring and retention program in July 2022, VITAS staffing has improved significantly. Nick will provide more detailed information on this issue later in the call. We continue to see disruption in our referral patterns when compared to pre-pandemic admissions. Fortunately, these patterns continue to show improvement in key pre-admit patient locations. Pre-pandemic, nursing home patients represented 18% of our total average daily census or ADC. The nursing home ADC ratio hit a low of 14.3% during the pandemic. Full year 2021 nursing home-based census increased to 15.1% of the total ADC. This nursing home census expanded an additional 128 basis points to 16.4% in 2022. Our 2023 guidance anticipates continued improvement in senior housing based census. For Roto-Rooter, higher inflation throughout 2022 did marginally impact our revenue growth on the small portion of services that could be considered discretionary. We consider the vast majority of demand for Roto-Rooter services as nondiscretionary or emergency-based. Water restoration is an example of 100% nondiscretionary service. Water from broken or backed-up pipes must be removed immediately to avoid significant mold and water-related damage to the structure. Some Roto-Rooter services could be considered discretionary or potentially deferred by the customer until the problem becomes more severe. As an example, a customer’s collapsed mainline is a nondiscretionary excavation service. The failed sewage line must be replaced for the homeowners remain in the residents at a replacement cost of approximately $3,000 to $6,000. A sewage line with significant tree root penetration should be replaced as well. However, temporary fix is possible by using a Roto-Rooter steel cable machine to chop, clear the tree roots of the mainline for approximately $400 to $700. This lower cost fix is temporary as roots go back into the perforated mainline in about nine to 15 months. The customer will then have to pay for the solution to either be cleaned again or permanently replaced. Roto-Rooter is well positioned post-pandemic, and we anticipate continued expansion of market share by pressing our core competitive advantages in terms of brand awareness, customer response time, 24/7 call centers and Internet presence. Roto-Rooter services are primarily emergency-based and nondiscretionary. Our ability to respond faster than the competition is a significant competitive advantage and we’ll continue to provide Roto-Rooter the ability to increase market share. With that, I would like to turn this teleconference over to David Williams.
Dave Williams: Thanks, Kevin. VITAS’ net revenue was $308 million in the fourth quarter of 2022, which is a decline of 2.5% when compared to the prior year period. This revenue decline is comprised primarily of a 2.8% reduction in our days of care in a geographically weighted average Medicare reimbursement rate increase of approximately 3.2%, partially offset by 200 basis points as a result of CMS reimplementing the 2% sequestration cut that was suspended at the start of the pandemic in 2020. Our acuity mix shift had a net impact of reducing revenue approximately $1.8 million or six-tenths of one percent in the quarter when compared to the prior year revenue and level of care mix. The combination of Medicare Cap and other contract revenue changes negatively impacted revenue growth by 30 basis points. In the fourth quarter of 2022, VITAS accrued $2.7 million in Medicare Cap billing limitations. This compares to $3 million of Medicare Cap billing limitations in the fourth quarter of 2021. Of VITAS’ 30 Medicare provider numbers, 25 of these provider numbers have a Medicare Cap cushion of 10% or greater. One provider number does have a cap cushion between 5% and 10%, and four provider numbers have a trailing 12-month billing limitation liability. The fourth quarter 2022 gross margin, excluding Medicare Cap and our hiring and retention bonus program was 26.9%. This is a 135 basis point margin decline when we compare it to the fourth quarter of 2021. VITAS has reversed the severe attrition of our licensed health care professionals that began during the pandemic. This is evidenced by VITAS expanding our licensed health care staff by 275 coinciding with the launch of our higher net retention program beginning on July 1, 2022. This higher staffing increased the aggregate cost of sales in the quarter by an estimated $4.4 million. Excluding this capacity expansion, fourth quarter 2022 gross margins would have reflected a modest margin improvement when compared to the prior year quarter. Adjusted EBITDA margin in the quarter, excluding Medicare Cap and other discrete items, was 19.8%, which is 189 basis points below the prior year period. Again, the adjusted EBITDA margin was negatively impacted by 200 basis points for the reimplementation of sequestration and an additional approximately 141 basis points due to the increased staffing and patient capacity from VITAS’ hiring and retention program. Roto-Rooter generated revenue of $239 million in the fourth quarter of 2022, an increase of 6.1% when compared to the prior year. Roto-Rooter branch commercial revenue in the quarter totaled $58.6 million, which is an increase of 8.7% over the prior year. Aggregate commercial revenue growth consisted of drain cleaning increasing 5.5%; plumbing increasing 13.8%; excavation expanding 5.1%; and water restoration increasing 27.3%. Commercial revenue is showing excellent growth in the fourth quarter. Roto-Rooter branch residential revenue in the quarter totaled $159 million, an increase of 5% over the prior year. And the revenue growth consisted of drain cleaning decreasing 2.1%, plumbing expanding 7%, excavation expanding 4.9% and water restoration increased 13.2%. As Kevin previously noted, we have observed a slight pullback for some residential services, although expanding overall. This behavior does appear to have modestly impact the revenue growth of some of our excavation work over the past several quarters. To illustrate this, let’s take a look at growth in excavation for the past five quarters compared to the equivalent prior year period. In the fourth quarter of 2021, residential excavation revenue increased 12% over the prior year. In 2022, quarterly excavation growth was 5.9% in the first quarter, a slight decline of one-tenth of one percent in the second, an increase of nine-tenths of one percent in the third quarter and growth of 4.9% in the fourth quarter of the year. This excavation growth rate is lighter than growth generated over the last several years. We believe most delayed excavation work will materialize over the next one to two years, as Kevin referred that the delayed excavations become bigger problems for our residential customers. Roto-Rooter’s gross margin in the quarter was 53.0%, a 68 basis point increase compared to the fourth quarter of 2021. Adjusted EBITDA margin in the fourth quarter of 2022 totaled $69.3 million, which is an increase of 11.4%. The adjusted EBITDA margin in the quarter was 29.0%, which is a 138 basis point improvement when compared to the prior year. Chemed on a consolidated basis. During the quarter, we repurchased 25,000 shares of Chemed stock for $13 million which equates to a cost per share of $519. As of December 31, 2022, there was approximately $88 million of remaining share repurchase authorization under our plan. 2023 earnings guidance is as follows: VITAS’ 2023 revenue prior to Medicare Cap is estimated to increase 6% to 7% when compared to the prior year. Forecasted revenue growth is negatively impacted by 75 basis points as a result of the sequestration relief in the first half of 2022 compared to full sequestration in 2023. Average daily census or ADC is estimated to increase 3.5% to 4%, with the majority of our census growth coming in the second half of 2023, as increased staffing and operational capacity generates increased census. Full year adjusted EBITDA margin prior to Medicare Cap and excluding accrued one-time bonuses for hiring and retention initiatives announced last year is estimated to be 16.3% to 16.6%. And we’re currently estimating $11 million for Medicare Cap billing limitations in calendar year 2023. The guidance includes increased wages related to expanding our staff of licensed health care professionals at a rate of about 25 licensed health care workers per month. The estimated increase in staffing should be viewed as VITAS expanding internal capacity to care for more patients. ADC growth from this capacity expansion is estimated to lag growth overall by 30 to 60 days with margins improving on this ADC as the census growth patients remain on service. Roto-Rooter is forecasted to achieve full year 2023 revenue growth of 5% to 5.5%. The adjusted EBIT margin for Roto-Rooter is estimated at 29.3% to 29.5%. Based upon the discussion, our full year 2023 earnings per diluted share, excluding non-cash expense for stock options, tax benefits from stock option exercises and costs related to litigation and the retention program and other discrete items, is estimated to be in the range of $20.75 to $21.10. Adjusted earnings per diluted share should approximate our free cash flow per diluted share. Current 2023 guidance also assumes an effective tax rate and adjusted earnings of 25.1% and a diluted share count of 15.0 million shares. I will now turn this call over to Nick Westfall, President and Chief Executive Officer of our VITAS Healthcare business segment.
Nick Westfall: Thanks, Dave. As Kevin referenced earlier, we implemented a targeted hiring and retention bonus program at VITAS, effective July 1, 2022. This program focused on licensed nurses, nurse managers, home health aids and social workers. These onetime retention bonuses range from $2,000 to $15,000 per licensed health care professional. The total estimated 12-month forward-looking cost of this program, including payroll taxes and government mandated overtime calculations, will be approximately $40 million. All retention bonus payments are individually clip vested and then paid out after the employee has successfully completed 12 additional months of continuous employment. During the fourth quarter, we expanded this licensed health care professional staff by 103 employees, bringing total licensed health care staffing expansion attributed to this program to 275 employees in the second half of 2022. It’s important to note the majority of this increase is attributed to registered nurses, which includes admission nurses. In the fourth quarter, our average daily census was 17,434 patients, a decline of 2.8% over the prior year and an increase of 192 or 1.1% sequentially. The monthly ADC growth we experienced within the fourth quarter is very encouraging given the timing lag of adding patient care capacity and then the subsequent census expansion. In the fourth quarter of 2022, total VITAS admissions were 14,829. This is an 8.7% decline when compared to the fourth quarter of 2021. I am very encouraged by our sequential increase in admissions, expanding 149 patients or 1.1% over the third quarter. This is attributed primarily to the capacity expansion from our hiring and retention program. In the fourth quarter, our nursing home admissions increased 9.4% and assisted facility admissions expanded 2.7%. Hospital-directed admissions declined 11.3%, and home-based patient admissions declined 7.5% in the quarter. Comparing the fourth quarter of 2022 to our second quarter is also encouraging. In the fourth quarter, our admissions were slightly above our admissions in the second quarter. This multi-quarter sequential performance illustrates the consistency with which our community-based access initiative is performing as we continue to be focused on incrementally admitting more appropriate patients each and every day. Our average length of stay in the quarter was 103.9 days. This compares to 97.9 days in the fourth quarter of 2021 and 106.2 days in the third quarter of 2022. Our median length of stay was 16 days in the quarter and compares to 15 days in the fourth quarter of 2021 and 17 days in the third quarter of 2022. This growth in our median length of stay is attributed to the successful execution of our community access initiative I referenced earlier as well as the indications of patients accessing the hospice benefit in timeframes closer to pre-pandemic levels. Overall, I’m very pleased with the execution of the entire VITAS team regarding how we continue to serve our communities as well as our renewed focus on recruiting and retention of our workforce. To recap, we have now generated two quarters of sequential growth in licensed health care workers, sequential growth in admissions as well as ADC. We’ve developed what I believe is a very sustainable path to building back our clinical capacity and patient base to pre-pandemic levels. Before I turn this call back over to Kevin, I’d like to thank every one of my fellow VITAS team members and our leadership team. Their share will and daily perseverance to deliver on our mission got us through the pandemic and now the execution of our strategies through the end of 2022 has prepared us to have an exciting 2023, where we will continue to make a difference in every community we serve. With that, I’ll turn the call back over to Kevin.
Kevin McNamara: Thank you, Nick. I will now open this teleconference to questions.
Operator: Thank you, sir. [Operator Instructions] And I show our first question comes from the line of Joanna Gajuk from Bank of America. Please go ahead.
Joanna Gajuk: Good morning. Thanks for taking the questions, here. So I guess, just following up to Nick’s comments, the latest comments on the trends. So I guess you set out monthly ADC growth encouraging during the fourth quarter. So can you give us some flavor of how things are tracking so far this year? Has this persisted the improvement that you’ve seen in Q4 and I guess also Q3? Kind of any color you can give us on some of these metrics as you’ve seen them live this quarter so far?
Kevin McNamara: Well, before, Nick, I’d say we’re love to talk about inter-quarter – unreleased quarter activity other than to say, I’ll just say, yes, it’s good. It’s what we expect to see.
Nick Westfall: I’d use the word very encouraging. Very encouraging, like we referred to in the fourth quarter, and we’re still very encouraged sitting here today.
Kevin McNamara: And I’d say the same thing with Roto-Rooter. Roto has one other good thing going for it, which is weather. We’ve had great Roto-Rooter-type weather. So yes, we don’t like to talk about it other than to say, it’s good.
Joanna Gajuk: Okay. That’s good. Encouraging, I like that. And I guess – so when it comes to your guidance for the year for VITAS, just coming back before we talk about Roto-Rooter. So the VITAS margins, right, the guidance calls for these margins to be down, call it, 70 basis points to 100 basis points year-over-year. So obviously, it’s a question coming back, obviously, hiring more people? And I guess also census right still are going to be maybe 4%-or-so below 2019 levels. So is that a way to think about it that before you reach or get closer to the pre-pandemic margins you need to get the census back to that level?
Dave Williams: Yes, Joanna, this is Dave. So I’ll comment on a macro basis, and Nick can give a lot more color on more detail. But on a macro basis, if you think about what we’re doing beyond the fact that we have a headwind on sequestration. So obviously, that impacts us by what, Nick?
Nick Westfall: 75 bps.
Dave Williams: And $9 million…
Nick Westfall: $9 million.
Dave Williams: Then we also have an issue, of course, the fact that the reimbursement increase was inadequate relative to some of the wages. So that creates a bit of a headwind period. But absent that, you have to expect the margin to be down as we build capacity, that’s a drag on profitability. You add licensed health care workers, they can’t be immediately productive in terms of the next day we expanded census. So there’s a lag. We have the lag at about 30 to 60 days right now of adding capacity and then we see an impact on census. And frankly, six months ago, I would have said that lag is easily 60 to 90 days. So the cause and effect is tighter than we want, but the bottom line is you add capacity, that’s a strain on margin. Then you bring on new patients more than you would have otherwise. That’s also a strain on margins in terms of the admissions process. And most patients – all patients are negative margin for the first solid 15 as much as 30 days in program. And then as the patients in program age out, then they become positive margin. So that’s a long-winded way of saying you have to expect margins to lag to increase capacity to grow the business. And the other thing I’d add is this is a mirror image of what happened in 2020. When census held in, but we did have weakness and we lost our capacity to a certain degree with health care workers resigning, so margins were much higher than you would have anticipated because census was there, but you didn’t have the FTEs. So bottom line is, grow our capacity by adding health care workers, licensed health care workers. And then they will – that will lag 30 to 60 days for census and then census will lag that marginal increase in census by about 30 days until those patients are profitable.
Nick Westfall: And just to recap a few pieces and Dave’s depiction, the $9 million or 75 basis points year-over-year comparison. Obviously, that has a marginal implication related to it. And as we sit and grow all the pieces Dave talked about in terms of clinical capacity and the timing lags with it. It all translates into that 16.3% to 16.6% adjusted EBITDA ex-cap margin we released as part of the guidance. But the bottom line on a day in and day out basis is we’re continuing to be laser-focused on driving growth inside of the organization, and that’s the combination of clinical capacity as well as servicing more patients. And from a bottom line total contribution from a dollar standpoint and then the ultimate marginal contribution, that will come through in 2024 probably looks more like an estimated ongoing margin now that the pandemic is fully behind us, and we’ll see what census level we’re at, at that point in 2024.
Kevin McNamara: I would just add with one step removed, there’s nothing that has changed in the hospice market. Pandemic was a big rock thrown into a pond, which caused all sorts of ripples and effects and splashes. But it’s going to return to – based on what’s going on there today, we expect it to return to the same general dynamics before the pandemic and VITAS has not lost market share. I think the number of percentage of deaths that have a brush with hospice is going to return to its previous level and VITAS will be there and by that point, have the staff to deal with them. So to us, it’s a – we’re just getting back to something. We already have the institutional people involved for a 19,000, 20,000 census hospice. Now, we’re waiting for the operating conditions to return to normal.
Dave Williams: And Joanna, if you think about it, so we’re guiding adjusted EBITDA margin ex cap in the retention program for VITAS of about 16.3% to 16.6%, but let’s just go back to the last full year we had before the pandemic. So that would have been the 2019 full year adjusted EBITDA margin was 17.8%. So frankly, if you just take into consideration the headwind on sequestration, but the fact that we’re still down from a census of 19,000-plus at the end of 2019, frankly, we’re coming back on the adjusted EBITDA margin faster than I would have thought. And frankly, with some of the changes that have been forced on us through bobbing and weaving during the pandemic, I suspect Nick is a lot more efficient now than we were a few years ago. So I think there is actually – it’s more likely than not, once we return to normal sized census, get back to pre-pandemic levels, I think our margin is going to end up a little higher because these efficiencies have now been incorporated into our normal operating approach.
Nick Westfall: Yes. And we’ll see what the pricing implication is on October 1, 2023.
Joanna Gajuk: Right. It was actually on my list too, since you mentioned that. So what do you assume for your Medicare rate increase in the fourth quarter of 2023?
Dave Williams: 5%.
Joanna Gajuk: You say 5% – plus 5%. Okay. So nicely accelerating from like, I guess, call it 4%?
Dave Williams: It’s a guess.
Nick Westfall: It’s a guess, right now. Yes, Joanna, as you know, they released a preliminary report related to it in the late – in the next 30 days to 45 days, that will help to inform the ballpark range we would anticipate October 1.
Dave Williams: Frankly, we don’t consider the model you see a measures to develop our increase in rate is less than transparent.
Joanna Gajuk: Right. Just another topic. But just coming back to the hiring and increasing the capacity. So just to clarify, the 275, these are new hires or these are net hires? And also what percent of the base is it? And also – so you mentioned before that you expect to add roughly 25 per month still of staff. So, I assume that growth or is it net? And so is that enough? Like really, what I’m getting at is, how much more do you really need to increase your net staff to be back to the capacity that you had before COVID?
Nick Westfall: So let me – the baseline answer, which is the most important one here is those are net numbers.
Kevin McNamara: And it’s enough. I mean I guess the other answer is to answer your second question.
Dave Williams: Methodically absorb them in.
Kevin McNamara: That’s right. It’s not like we’re looking to greatly exceed that number.
Nick Westfall: Yes. And so it’s the methodical approach Kevin alluded to that is always focused back to where things maybe, call it, were in an environment. I’m talking about this philosophically, where we want to add clinical capacity to be able to absorb the demand we see in the marketplace, and we’re still ramping up to that, and that demand is not only to help fulfill referral and emission activity but also, of course, to care for patients who are joining the benefit more traditional at the time window, more traditional than they were pre-pandemic, which is encouraging. And we’ll be on service with us, hopefully, for a longer period of time than they were during the disruption time period of the pandemic, where the health care system refer to them later to all hospice providers inside of the benefit. So it’s a long-winded way to say we will methodically continue to grow clinical capacity, and we wanted to guide towards that, which helps with, as Dave was alluding to a little bit of the short-term marginal compression. But the bottom line is, as long as we can continue to improve our retention, improve our hiring, resulting in net growth of clinical capacity, we feel really good about the other operating metrics from a top-line perspective, from our ability to absorb what continues to be elevating demand in every market in which we serve and deliver predictable and sustainable operating results.
Kevin McNamara: And Joanna, one thing that we follow and to say what we’re trying to achieve is, we have the two grow in tandem – we know there’s a – as they said a lag factor. The current quarter margin is probably affected by 141 basis points based on our rough calculations. To give you an idea that that’s – so we’re running a little ahead. The way we do this if you want to grow, and we think at the optimum rate, you’re out ahead with the hiring and say, just so you can put a cost on that, is 141 basis points. We’re not looking to be further ahead and have that grow to 200 basis points or 250 basis points.
Dave Williams: No. But I’d be comfortable methodically keeping that as we expand capacity.
Kevin McNamara: Exactly. You want to – have headlights that clears the area ahead of you.
Dave Williams: I have just a clear understanding and Nick can provide probably a lot of anecdotal color on this. But if you think about it adding capacity has put us in a virtuous cycle. And what I mean by that is our tenured people were getting strained. There are schedules where habit. They were scrambling to take care of patients. We’re hiring these people, they train them and they were resigning. So it was burning out our tenured staff. So, we’ve now entered the point where we’re adding capacity is giving relief to the tenured staff. It’s not been on this whole trend mill of you hire people, they resign, you hire the other people. So from that standpoint, the life of our long-tenured people have gotten massively better now from what was the fourth quarter of last year, that’s reaffirming our ability to retain existing personnel as well as adding. So, we’re actually what we think is we were in a horrible spiral at the end of 2020 in the pandemic, and Nick and his team have completely reversed that.
Nick Westfall: Yes. Just to add on that, Joanna, I’m sure it will be embedded inside of either a subsequent question or other folks’ questions. If you think about it very generally at a high level, it has a compounding effect to it, which is fantastic. Meaning, that baseline Dave alluded to, existing staff, real burnout and shortages and that also is elevated by people accessing the benefit later in their disease trajectory. You couple that with a frustration, because everyone joins hospice usually from a calling standpoint, of not being able to meet patient demand. And so our teams have done a fantastic job at three very high-level behavioral pieces, focusing daily on the existing employee experience. That’s our tenured staff Dave was alluding to. There’s a lot of detailed tactical things inside of it. But also part of that is helping them understand the light to at the end of the tunnel related to that burnout frustration. The second is focusing on hiring and really improving the new hire experience. We measure that through 90-day and first year turnover. Both of those are performing substantially better than they were in the pandemic. The third is taking that new team and really elevating the integrated culture. And I know those three things sound simplistic. They’re difficult to execute upon. The team has done a wonderful job. And the result is the compounding effect of all three of those things lead to less burnout, a comradery of a mission-focused organization and then the ability to meet more and more demand and responded demand and everyone personally begins to elevate their fulfillment of being able to impact the communities in ways they signed up originally to join – to be part of the hospice benefit and be part of VITAS. So that calling, combined with a compounding effect is really taking hold, and it’s something I’m very encouraged by, as we have launched into 2023.
Joanna Gajuk: No, definitely good to see the trends improving there and the staffing. Thanks for all those colors. Just one last on that topic because you’re talking about adding – continuing to add on more staff. But I guess this retention program is going to end. So, I guess the question there obviously is do you foresee a risk of higher turnover starting second half of 2023 when people get their bonuses and may be leave. So can you talk about expectations for that and kind of what do you assume in your guidance on that front? Thank you.
Nick Westfall: Yes. So obviously aware of the risk. Based upon what I just talked about from the compounding effect that has nothing to do with the difference maker program, but the difference maker program helps provide the catalyst for the existing staff as well as the staff to join us to be incentivized inside of it. That’s our – that’s what we deem our recruiting and retention programs, the difference maker program. So a little less concerned than you may think because of those pieces and the compounding effect because once we have the existing staff and the new staff that are with us for a year and that experience is elevated, our retention metrics just continue to improve in a substantial way. So – but we’re aware of the risk and not discounting it out.
Kevin McNamara: We expect to see something, but we’re we believe that the healthcare professionals that go to work for hospice in general are not dollar-driven as a priority. I mean they could go to other jobs and get a higher rate of pay. It’s the nature of the business. And what Nick is suggesting is there are really two things. Number one, there’s a view within the workforce that VITAS is stepping up the plate to do what’s necessary. What’s necessary, if not necessarily give people more money, but it’s to increase staff to have the right amount of staff for the services we’re offering. And so the net effect is at the end the – these are not hired guns, they’re right out of town at the 12-month date. Some will. I mean as – I think that some people will just would normally move jobs or have a change with a month or two short of the period in which they’re going to get their payment, I can see them postponing it and happening. But we think that will just be within normal ranges.
Dave Williams: And Joanna, and we have some pretty strong statistics support – to support our expectation, and that is, we know if we can keep an employee for 12 months, the probability they’re a long-tenured employees, three or more years, is significantly higher than people are with us less than 12 months. And it actually goes. You go to patients – employees are with us 90, 180, 270 or 360, that attrition rate drops, but we get them for a year, behavior, they know what they know, and we hang on to them. And as Nick said, plus we’ve reinforced our tenured folks. So we have strong statistics. If you get into a year, the probability you hang on to these people for definitely more for an additional year, but really three or more years is probably pushing around 75%.
Nick Westfall: It all comes back to you joined the hospice industry clinically because of the calling and something you want to do. If you were looking to maximize personal earnings, the reality is, as you go become a travel nurse like many had done until that carousel stops. But those aren’t typically what we see embedded inside the industry.
Joanna Gajuk: Thank you. I don’t want to dominate, but just a last question on the Roto-Rooter side. So the guidance calls for revenue, so it could be up 5%, call it. So that’s still a solid number. So are you assuming some slowdown because you mentioned you’re seeing potentially some of these excavation jobs being postponed? So are you assuming this continues into next year? And also, could you break out the 5% of how much is price versus volume? And is this kind of assuming that you’ll grow faster than the market or in line with the market? Thank you. 
Dave Williams: Yes. That’s a great question, Joanna. And yes, of course, we pass through price increase on a bespoke basis. What we look do it for Baltimore is going to be different than what we do in Cincinnati. But the range of our price increase is going to be around 5.5% to 6%. So frankly, if you look at that – we can talk about jobs, small jobs, geographic, but we’re essentially in terms of our raw procedures, estimating we’re going to be flat, which is actually we think is fairly conservative.  As Kevin mentioned, it’s angels on the head of a pin on what is truly considered emergency. But no one gets a warm fuzzy by calling Roto-Rooter and paying us $600 to get their house back to where it was the day before. So what I’m saying is the majority of our jobs are nondiscretionary, maybe they can delay it. And we’ve taken guidance assuming an increase in consumer headwinds on spending, but the ability to people to avoid these kind of emergency plumbing and drain cleaner service is limited, but it’s not recession proof, as Kevin always says, it’s very recession-resistant, but we think we developed in our guidance is some headwinds on demand that will be much higher than it is today.  So frankly, I think it’s more likely than that. We are at the higher end of the Roto-Rooter guidance, but we are guessing a little bit. But I go back to The Great Recession and the little impact that that had on our demand, and that was before we implemented water restoration, which is now going to be pushing, hopefully $200 million or slightly below that, that is 100% non-avoidable. You’ve got standing water, in some cases, greater blackwater in your house, you’re paying us to get rid of it. 
Kevin McNamara: And it’s insurance. Its insurance covered. 
Dave Williams: And its insurance paid. And just to give a little bit more color, both water restoration and excavation are derived from additional procedures from basic small jobs. And as you can see, water restoration continued to grow, but excavation they’re less than that water restoration. That kind of – the growth was there, but not as much, which just tells you they didn’t delay the water restoration, but they deferred a small portion of the excavation work. Otherwise, excavation and water restoration probably would have been closer to the same rate. 
Kevin McNamara: And I’ll just – I don’t want to beat a dead horse, but let me put it from my perspective. I know in theory consumer demand and what inflationary pressures and recessionary pressures don’t have an effect on any business.  But Roto-Rooter is such a basic business. If you ask me what has affected numbers more than the financial environment, it’s the fact that in the last 18 months, private equity companies have been investing in service companies. First thing the service companies need is local management. Roto-Rooter is one of the go-to places to hire service qualified service managers. And we – if you ask me how we’re going to make sure we hit our numbers. It’s going to be doing a better job holding on to our branch managers and excavation managers.  The work is available, but it’s a bit of an art rather than a science. And again, we have some programs now to improve our retention of those key people. But if you go over the 18 months, it’s been an onslaught. I mean we have a couple litigation matters going on that subject of poaching of kind of several people from – all from one branch. We have some compensation plans in place. But I’ll tell you right now that if we do a better job with that, that will greatly outweigh any overall financial metric. 
Joanna Gajuk: Thanks for all the answers. I appreciate it.
Operator: Thank you. And I show our next question comes from the line of Ben Hendrix from RBC Capital Markets. Please go ahead. 
Ben Hendrix: Hey, thanks guys. A quick question on capital allocation. Is there any change or anything we should consider this year regard your capital allocation priorities or balance sheet management strategy for [indiscernible].
Dave Williams: Hi Ben, this is Dave Williams. Just slightly, and that what I would say is if you look at our balance sheet, and we did our credit facility last year and we opted $100 million from $450 million to $550 million. And we actually put a piece of term loan on there of $100 million. It has – I think it’s running $1.25 million quarterly amortization on it. But given the spike in interest rates, frankly, before when it was a 30 basis point penalty, we didn’t have to keep a super tight lock on the balance sheet. Interest rates were low, how much we can invest our cash was low. But now it matters, so your point is a good one. We’re actually going to accelerate the payment of that term debt. As a matter of fact, we’ve given notice that we’re going to tranche down $50 million by the end of this month. And we’ll probably eliminate all of the term debt early into Q2. And then we’re going to triage that free cash flow probably to share repurchasing after we have now zero debt.  Just because – I mean, the swing line we would be at 7.755% [ph] and I think SOFR plus 100 basis point spread which is still a great rate, but that takes us to, what, 6.5% right now. So screw that, we’re getting rid of all interest expense regarding the term debt cash outflow. And then capital goes to shares or it will sit on our balance sheet for opportunistic investments. 
Ben Hendrix: Great. Thanks for that guys. 
Operator: Thank you. And I show our next question comes from the line of Mike Wiederhorn from Oppenheimer. Please go ahead. 
Mike Wiederhorn: Good morning. Thanks for taking my call. Majority of my questions have been answered, so I have one or two here. Can you kind of – you discussed earlier about the referral trends and how they continue to evolve. Can you discuss how the strategy has impacted your length of stay in acuity and where the patients are coming in this process?
Nick Westfall: Yes. So without getting specific in the granular delineation of all of it, one of the things that was we needed to respond to, particularly during the pandemic was the referral demand in many instances, coming to us shorter in their disease trajectory than typically. We had to be very mindful around where we were sending out scarce resources to not only respond and also bring on service. So the demand was – has always been there and continues to be there. We referenced it from a community access standpoint that we flow through our educational efforts our emphasis efforts. But to clarify, we’re still, of course, and you can see it in the metrics, serving all of the segments of the market that we reference and refer to externally from a preadmit standpoint, that has continued, that strategy continues and carries over. And so on the margin, what ends up happening not only is people access the benefit earlier in their disease trajectory, but we also focus in on the community who typically refers patients and the types of patients earlier than the average to the hospice benefit, that compounding effect along with the compounding effect of staffing and clinical staff availability really yields an acceleration of ADC growth for the same number of admissions coming into the organization. I don’t know if that answers your question or not, Mike, but sort of directionally, it has made a difference. It will continue to make a difference and that’s part of what’s inferred inside of our 2023 guidance of ADC going up 3.5% to 4% and not referencing admission guidance specifically because it causes a little confusion. 
Mike Wiederhorn: No, that’s good color. And one other question. I know you guys are obviously always quiet on the M&A front. Can you kind of discuss what the market looks like and where valuations are? And are you seeing any changes in the competitive landscape?
Dave Williams: I don’t think I’ve seen enough to actually be able to give a thought on what multiples are going for. 
Nick Westfall: Yes. The multiples have a wide range, and it’s really probably driven by who the owner is, right? Because you have private equity that may expect larger multiples, and it’s really just – there’s one aspect on price. I think the underlying piece for a lot of the providers in the space, and you hear it from other public commentary is, if you don’t have the culture and strategic approach for retaining and growing your clinical capacity by definition, all operating metrics related to the business are going to decline.  And that’s going to influence pricing as well as availability of each and every one of those providers. So that’s really not significantly different than anything pre-pandemic except for if you weren’t proactively taking those steps in the middle of the pandemic to improve it, you have seen an acceleration of decline in your operating metrics, which is going to impact overall valuation as well as the multiple someone is willing to pay.  There aren’t too many platform assets out there. So now it is people plucking off individual single and regional providers that really don’t have the balance sheet or scale to continue to operate. That’s what we see in the space. 
Mike Wiederhorn: Great. Thanks very much. Appreciate it. 
A - Nick Westfall: Thanks Mike. 
Operator: Thank you. I’m showing no further questions in the queue. At this time, I’d like to turn the call back over to Kevin McNamara, President and CEO for closing remarks. 
Kevin McNamara: Thank you. Yes, just we’ll finish the call. Thank you for your attention. It was a nice solid quarter for us, and we look forward to talking to you all into the next quarter. Thank you. 
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect. Good day.